Operator: Good morning, and welcome to the United Parks & Resorts Second Quarter 2025 Earnings Conference Call. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the conference over to Matthew Stroud of Investor Relations. Please go ahead.
Matthew V. Stroud: Thank you, and good morning, everyone. Welcome to United Parks & Resorts Second Quarter Earnings Conference Call. Today's call is being webcast and recorded. A press release was issued this morning and is available on our Investor Relations website at www.unitedparksinvestors.com. Replay information for this call can be found in the press release and will be available on our website following the call. Joining me this morning are Marc Swanson, Chief Executive Officer; and Jim Mikolaichik, Chief Financial Officer and Treasurer. This morning, we will review our second quarter financial results, and then we will open the call for your questions. Before we begin, I would like to remind everyone that our comments today will contain forward-looking statements within the meaning of the federal securities laws. These statements are subject to a number of risks and uncertainties that could cause actual results to be materially different from those forward-looking statements, including those identified in the Risk Factors section of our annual report on Form 10-K and quarterly reports on Form 10-Q filed with the Securities and Exchange Commission. These risk factors may be updated from time to time and will be included in our filings with the SEC that are available on our website. We undertake no obligation to update any forward-looking statements. In addition, on the call, we may reference non-GAAP financial measures and other financial metrics such as adjusted EBITDA and free cash flow. More information regarding our forward-looking statements and reconciliations of non-GAAP measures to the most comparable GAAP measure is included in our earnings release available on our website and can also be found in our filings with the SEC. Now I would like to turn the call over to our Chief Executive Officer, Marc Swanson. Marc?
Marc G. Swanson: Thank you, Matthew. Good morning, everyone, and thank you for joining us. We are pleased to have grown attendance in the second quarter despite experiencing amongst the worst weather we have ever experienced in the second quarter. Despite those headwinds, we saw an increase in International and Group visitation compared to the prior year in the second quarter. Additionally, we saw an increase in attendance at all of our Orlando parks, including SeaWorld Orlando, Aquatica Orlando and Discovery Cove. Looking forward, we continue to be encouraged by the forward-booking trends we are seeing in our Group business and at our Discovery Cove property, both of which are up mid- to high single digits for the remainder of the year. While it's early, the 2026 bookings are also showing very strong trends in both areas as well. We are excited about the remaining lineup of events as we wrap up the summer, including Bands, Brew and BBQ at SeaWorld Orlando, Summer Spectacular at SeaWorld San Diego, Red, White and BBQ at SeaWorld San Antonio and Bier Fest Brews and BBQ at both Busch Gardens Tampa Bay and Busch Gardens Williamsburg over the next few weeks. Later in September, we'll start our popular Halloween events, which will run through October and be followed by our Christmas events in November and December. These special events continue to grow in popularity, and we expect this year's events to be among our biggest ever. Early forward-booking ticket sales for our Howl-O-Scream events across our parks are running ahead of prior year. I want to thank all of our ambassadors for their hard work and dedicated efforts to make these things happen. I'm also happy to announce that our Board has approved a new $500 million share repurchase program, subject to approval by a majority of the non- Hill Path stockholders. We intend to file preliminary proxy materials for a special meeting of stockholders within the coming days and expect to have the vote within the next 30 days. With our strong balance sheet and significant free cash flow generation, we are excited to be able to take advantage of what we believe to be a very attractive opportunity to invest in the shares of our own company via a share repurchase and return capital to our stockholders. The Board and the company strongly believe our shares are materially undervalued. As we have expressed in the past, we have significant confidence in our business, our prospects and the value of our assets, and we believe any reasonable way you look at it, we feel we are materially undervalued and that there is meaningful upside opportunity in our current share price. Our balance sheet continues to be strong. Our June 30, 2025 net total leverage ratio is 3.0x, and we have approximately $883 million of total available liquidity, including approximately $194 million of cash on the balance sheet. As a reminder, we generate a majority of our cash flow in our peak summer season, stretching over the second and third quarters. The strong balance sheet gives us the flexibility to continue to invest in and grow our business and to opportunistically allocate capital with the goal to maximize long-term value for shareholders. On cost, we are a little disappointed and probably could have and should have done a better job of proactively managing some of our park labor and operating expenses in the face of poor weather that impacted demand. We have tightened and improved our processes and added additional resources to help manage these areas better in the future. There are other areas of the P&L that we have opportunities to manage better also. In light of this, we are implementing an additional cost reduction plan that we expect will reduce up to $15 million of cost in the second half of the year. On Orlando, there has been considerable interest from you all on the opening of Universal's new Epic Universe theme park this year in Orlando and the potential impact on demand at our SeaWorld Park in Orlando. As we and some of our other competitors have consistently communicated, we welcome investment in the Orlando market, and we believe more high-quality investment is good for the overall market and good for our business. As you know, over the past 50 years since we arrived in Orlando, there has been significant investment in the market, which has driven more and more visitors and residents to this highly attractive market. Today, Orlando is the most visited city in America and amongst the top most visited cities in the world. We benefit substantially from this strategic position in this market. As you know, for competitive and other reasons, we do not normally share individual park performance information. However, in the spirit of hopefully giving clarity and some conclusion to this open question, I will share with you all that as expected, our attendance at our SeaWorld Orlando Park has been up in attendance since Epic opened on May 22. It was up for the full second quarter, and it was up if you measure from the date Epic opened through the end of the second quarter. It continues to be up quarter-to-date in the third quarter through August 6 on a day-to-day basis, and we expect attendance for the remainder of the year at this park to be up as well. We hope this provides helpful context for you all. We have great respect for our competitors in Orlando. We welcome increased investment from them, and we are very happy to be a major operator in this market, benefiting from its growth and vibrancy. We hope we really don't have to discuss this topic again, and we do not plan to make it a normal practice to discuss individual park performance information in the future. I'd also like to take a minute to highlight our early forward insights into 2026. As I mentioned earlier, our early Group booking trends for 2026 are up. Our early Discovery Cove property booking trends for 2026 are up and our very early and recently launched at select parks, 2026 pass sales are up. We have another exciting lineup of new rides, attractions, events and activations we are planning for 2026, in addition to certain food and beverage, retail and technology improvements, which we look forward to implementing. We are in the midst of 2026 planning right now, and the team is working hard on putting a good plan in place for next year. Moving on to some of our strategic initiatives. On the sponsorship front, we have been actively working over the past several months on various sponsorship opportunities that leverage our valuable assets and customer database. As a reminder, we have over 21 million annual visitors across our park portfolio and the average length of stay is over 6 hours. We have secured agreements with a number of partners across our parks and continue to work through a pipeline of other potential opportunities. We are projecting approximately up to mid-single-digit million dollars in sponsorship revenue for this year with an annual outlook of approximately $20 million in the coming years. On our international opportunities, we are in active discussions with multiple potential partners and expect to have 2 signed MOUs by the end of the year. More to share in the coming quarters. On the digital transformation front, we continue to make investments and build out our CRM capabilities and our mobile app. We continue to believe that CRM will play a role in our long-term growth strategy, providing deeper insights and more meaningful connections with our guests as we continue to scale. In regards to the mobile app, we continue to make progress on functionality, adoption, usage and financial impact. The app is being used by an increasing number of guests in our parks to improve their in-park performance. The app has now been downloaded by more than 15.6 million -- excuse me, the app has now been downloaded more than 15.6 million times, up from 14.3 million at the end of Q1. Total revenue generated on the app continues to grow, and we are now seeing an approximate 35% increase in average transaction value for food and beverage purchases made through the app compared to point-of-sale orders. We're excited about the potential of the app and its ability to improve the in-park guest experience, drive increases in revenue and decreases in cost. On the hotel front, our work and discussions continue with various potential partners on a variety of structures. As we have discussed previously, we continue to be excited about opportunities to monetize a portion of our substantial and valuable unused land holdings and have hotels integrated into our properties. On real estate more generally, as we have discussed, we own over 2,000 acres of valuable real estate in desirable locations, including approximately 400 acres of undeveloped land adjacent to our parks, including significant developable land in Orlando. We do not believe that the public markets have or are appropriately giving credit to these attractive and valuable 100% owned real estate assets. On IP partnerships, we continue our discussions with various partners to bring globally recognized IP to our parks via new rides, attractions and our other exciting activations. I'm excited about the significant investments we are making and the many initiatives we have underway across our business that we expect will improve guest experience, allow us to generate more revenue and make us a more efficient and more profitable enterprise. We are building an even stronger and more resilient business that we are confident over time will deliver improved operational and financial results and meaningful increases in value for stakeholders. With that, Jim will discuss our financial results in more detail. Jim?
James Edward Mikolaichik: Thank you, Marc, and good morning, everyone. During the second quarter, we generated total revenue of $490.2 million, a decrease of $7.4 million or 1.5% when compared to the second quarter of 2024. The decrease in total revenue was primarily a result of decreases in admissions per capita and in-park per capita spending, partially offset by an increase in attendance. Attendance for the second quarter of 2025 increased by approximately 48,000 guests or 0.8% when compared to the prior year quarter. The increase in attendance was primarily due to a favorable calendar shift, including the shift of Easter and spring break holidays from the first quarter to the second quarter, partially offset by the impact of significantly worse weather compared to the prior year quarter. In the second quarter of 2025, total revenue per capita decreased 2.2%. Admission per capita decreased 3.9% and in-park per capita spending decreased 0.4%. Admission per capita decreased primarily due to lower realized pricing on certain admission products when compared to the prior year quarter. Operating expenses increased $14.6 million or 7.7% when compared to the second quarter of 2024. The increase in operating expenses is primarily due to a $9.6 million increase in noncash self-insurance adjustment compared to the second quarter of 2024. Selling, general and administrative expenses increased $0.6 million or 1% compared to the second quarter of 2024. We reported net income of $80.1 million for the second quarter compared to net income of $91.1 million in the second quarter of 2024. And we generated adjusted EBITDA of $206.3 million, a decrease of $11.9 million when compared to the second quarter of 2024. Looking at our results for the first half of 2025 compared to 2024, total revenue was $777.2 million, a decrease of $17.9 million or 2.2%. Total attendance was 9.6 million guests, a decrease of 11,000 guests or 0.1%. Net income for the period was $64 million, a decrease of $15.9 million and adjusted EBITDA was $273.7 million, a decrease of $23.6 million. Now turning to our balance sheet. Our June 30, 2025, net total leverage ratio is 3x, and we had approximately $883 million of total available liquidity, including approximately $194 million of cash on the balance sheet. This strong balance sheet gives us flexibility to continue to invest in and grow our business and to opportunistically allocate capital with the goal to maximize long- term value for shareholders. Our deferred revenue balance as of the end of June was $207.8 million. Deferred revenue decreased approximately $22.7 million when compared to June of 2024. Through July 2025, our pass base, including all pass products, was down approximately 3% compared to July 2024. We have been pleased to see our pass base improve since the end of the second quarter, and we are also in the midst of launching our 2026 passes, which will include what we believe are our best ever pass benefits program. We are excited by our new 2026 pass program, and we expect the launch of the new passes will be well received by our guests to drive continued improvement and growth in our pass base as we progress through the second half of the year. Very early signs in a few of the parks where we have launched are positive. As a reminder, approximately 40% of our total annual attendance comes from our loyal and recurring pass base. Finally, as of June 30, 2025, we have invested $110.5 million in CapEx. of which approximately $98 million was on core CapEx and approximately $12.5 million on expansion or ROI projects. For 2025, we expect to spend approximately $175 million to $200 million on core CapEx and approximately $50 million of CapEx on growth and ROI projects. Before turning the call back over to Marc, I want to reiterate our comments on costs. We have been and continue to be focused on operational efficiencies and optimizing our expense structure to deliver results. While we have expense growth of 1.6% in the quarter and just 1.2% year-to-date, which was approximately in line with our discussions the last 2 quarters, we are not satisfied with our ability to dynamically manage our costs in the face of weather headwinds and related impact to demand that we experienced. We should move more quickly and more proactively to manage our labor and operating expenses in reaction to lower demand over certain periods. We have improved and will continue to improve our processes and organizational talent to ensure we are better going forward. And also, as Marc mentioned, we have implemented an incremental and accelerated cost reduction program that we expect will reduce second half expenses by up to $15 million. With that, I'll turn the call back over to Marc, who will share some final thoughts.
Marc G. Swanson: Thanks, Jim. Before we open the call to your questions, I have some closing comments. In the second quarter of 2025, we came to the aid of 500 animals in need. Over our history, we have helped over 42,000 animals, including bottlenose dolphins, manatees, sea lions, seals, sea turtles, sharks, birds and more. I'm really proud of the team's hard work and their continued dedication to these important rescue efforts. While we are just over 7 months into 2025, we are excited about the remainder for the year with our current and upcoming events, including our summer festivals going on now and starting later our Halloween events, which will be followed by our Christmas events. I want to thank our ambassadors for their efforts during our busy summer season as well as their ongoing preparation for our exciting fall and winter events. We are confident in our ability to deliver operational and financial improvements that will result in meaningful increases in revenue, adjusted EBITDA and total shareholder value. While headwinds impacted our performance in the first half of the year and took us off the pace we initially set, we are focused on and expect to deliver strong second half financial results. I'm excited about the opportunity set in front of us, both in the near term where we see clear paths drive meaningful progress and over the medium term, where the growth potential is even greater. We are focused, well positioned and confident in the investments we are making, the operational efficiencies we are realizing and the value we are building for stakeholders. With that, we can now take your questions.
Operator: [Operator Instructions] And our first question will come from Steve Wieczynski with Stifel.
Steven Moyer Wieczynski: So Marc, you gave us a lot of color around the Epic opening, and it sounds like visitation into the Orlando parks continues to be up year-over-year even through July, which I think is probably a little bit surprising to some folks. But I guess my question is, did you guys do anything to maybe drive that visitation, meaning if I look at your costs in the second quarter, they were obviously a little bit higher than we were expecting. Something that sounds like it was from you guys not being aggressive enough around labor tied to weather. But wondering if you guys were a little bit more aggressive on the marketing side of things to kind of drive that visitation into the Orlando parks to help maybe offset some of the impact from Epic?
Marc G. Swanson: Yes. Steve, I can take that question. And just to make one quick comment. I mean, I said the attendance was actually through yesterday. It was up at SeaWorld Orlando for the quarter-to-date on a day-to-day basis. So that's through August 6. But as far as like what we did, obviously, we were well aware, Epic was coming. And I think you can imagine that we do look at our marketing and make certain adjustments and tweaks to that in response to things we know that are coming. So I would agree with you that probably put a little more emphasis than maybe normal on that. And then obviously, we had some weather impacts in the second quarter where we had to be a little more promotional than we would probably normally like to be. Can't wait around for the weather to get better. So that drove some promotions as well kind of across the company.
Steven Moyer Wieczynski: Okay. Got you. And then, Marc, I want to ask about deferred revenues, which were down about 10% year-over-year. And I'm just trying to square that up with your commentary around forward indicators in terms of group bookings, Discovery Cove bookings that you said have been pretty solid, I think, all the way out through early into 2026. So just trying to understand maybe why that deferred is down so much. Maybe that is some pricing pressure around pass products. Just trying to understand and square that away a little bit better.
Marc G. Swanson: Yes. On the deferred revenue, I mean, there's a number of factors, as Jim mentioned. But certainly, you have the different mix of products in that bucket. So whether it's the type of pass that people acquire or anything like that can have an impact on that. We're obviously have sold less passes than we'd like with the pass base being down. That did get a little bit better, as Jim mentioned, in July. And then you have this dynamic of people that have passes over time over after a year, they cycle out of deferred revenue. So there's a variety of factors. Certainly, some of the promotions that we had to do around the weather had an impact as well, and we'll have to kind of live with those for a little while until they cycle through. But I think the point we were trying to make a little bit is while deferred revenue is down, like you noted for the quarter, we do see good indicators in Discovery Cove and in Group bookings and the Howl-O-Scream sales as well. So those give us some confidence that, that at least is headed in the right direction and then pass sales did get a little better in July as well.
James Edward Mikolaichik: You have to also remember that there is some roll-off to month-to-month. So we have experienced the month-to-month roll-off, and we do continue to have pass visitation has continued to range in kind of that 40% range for us historically. So that's been pretty steady. So between that and what Marc said about the past sales and kind of what we have queued up for next year, I think we're in a good spot.
Operator: Our next question will come from James Hardiman with Citigroup.
James Lloyd Hardiman: To Steve's question, I think you mentioned maybe a little bit more marketing given the Epic opening. I wanted to ask about per cap specifically admissions per caps being down 4%. I doubt you're going to share this number, but you've given us a lot of info on Orlando. Care to share what the Orlando per caps look like. But ultimately, the question is, have you gotten more aggressive in Orlando given that Epic opening?
Marc G. Swanson: Yes. James, I can take that question. So yes, I'm not going to break out the per caps by park. I mean I think attendance is a good metric. I can tell you revenue for the second quarter was positive at SeaWorld Orlando. So you can read into that what you'd like. But clearly, with the weather we had really kind of coming out of May or around Memorial Day and into June, we had to be more promotional than we'd like. And that's being smart though. We have to react to these situations, can't wait for weather to get better. So that puts some pressure on those per caps, not only in Orlando, but across the company. Going forward, if we can have a more normalized weather pattern, we do feel optimistic that, again, like we've said repeatedly that over time, we think we can grow our admissions per cap and our pricing. We're always going to defer though to driving more total revenue. So there's going to be at times that we do things that might be at odds with per cap, but a better total revenue play.
James Lloyd Hardiman: Makes sense. And then you've called out a few different factors moving the numbers. I don't know if you'll quantify any of these. But I guess as I think about the weather headwinds, you've quantified that at times in the past. It sounds like there was a calendar benefit. Any way to quantify that? And then the marketing that you -- the increased marketing. Any quantification on any of those 3?
Marc G. Swanson: Yes. I mean I think what I can tell you is -- I'll just give you a little more color. The Easter benefit, if you will, in the second quarter, like we said, was almost entirely offset by bad weather in the quarter. So those kind of neutralized each other, unfortunately. So that gives you a little more color on that. I don't know that we'll share much more than that.
Operator: Our next question will come from Thomas Yeh with Morgan Stanley.
Thomas L. Yeh: I just wanted to maybe dig into the underlying trends if we kind of remove that weather timing and the Easter timing. I think a peer cited some low-end consumer value consciousness at the margin that's been seeping into the market a little bit. Is that something that you've been seeing as well?
Michael Mosticchio: Yes. Thomas, I can help you on that. Look, we don't see anything materially obvious on the consumer. What we -- what I typically look at would be our in-park spend. And it was almost flat for the quarter, down $0.15, which is a very small decline. So I think if there was some significant headwind, you would see it show up in there. The other thing I would point out is that our pass sales did improve in July, as Jim mentioned. Our early Howl-A-Scream sales are positive as well. And then one that I think is really impressive is Discovery Cove here in Orlando, which is our most expensive park by a lot. That park is on pace for a record attendance year. So if you were to see some sort of consumer pullback, I think in one of these areas I just mentioned, you would have seen it. So there's nothing like I said materially obvious that we're seeing. Having said that, it probably didn't help that some of the economic uncertainty and some of the noise around the economy was happening at times where we saw a lot of passes. So I don't think it was a benefit by any means to us, probably didn't help us. But like I said, there are some other indicators that from where we sit, look like we're still able to hang in there. And if anything, the forward indicators give us confidence that people are still wanting to come to our park and buy our products.
Thomas L. Yeh: Understood. That's helpful. And then did I hear you correctly that you expect 2 MOUs on the hotel initiatives? You said stay tuned, but just maybe any help on shaping that from a capital intensity appetite perspective and how much you think you might be putting into growth CapEx for that?
Marc G. Swanson: Yes. You did hear me correct. We would expect -- sorry, Thomas, did you say hotels or MOUs, I'm sorry.
Thomas L. Yeh: I was asking about the MOUs and then just also on the hotel initiative, whether or not there's any expectation on.
Marc G. Swanson: Yes. Okay. So you heard me correctly on the MOUs. There's -- I said we would expect to sign 2 of those, right? And that is related to international opportunities. And I think you can expect probably something in line with how we did Abu Dhabi from a capital-light standpoint. On the hotels, I don't have anything more specific to share with you as far as how that may or may not impact our capital spending. Obviously, there's a variety of structures you could look at, a variety of ways you could structure those things. I think you're obviously familiar with the makeup of our Board and the folks on our Board and the private equity component of having Hill Path on our Board, and they're obviously very involved in the business and certainly very involved in the hotel discussions and what that may or may not ultimately look like.
Operator: Our next question will come from Lizzie Dove with Goldman Sachs.
Elizabeth Dove: You mentioned that the SeaWorld Orlando attendance was up, and I think that means that the kind of non-Orlando parks was down, which looking at the foot traffic data for a while, it feels has been the case for the last kind of year or so. And so particularly, let's say, the Busch Gardens parks, like what has been the gating factor here? And are there drivers you can pull to kind of turn the attendance trends around there, whether it's new rides or kind of any other initiatives you have?
Marc G. Swanson: Yes, I can take that question. So look, I think we have to do a better job and have more opportunity certainly in like Busch Gardens Tampa, for example. And there's a variety of reasons, some of which obviously has been the weather in that area. We had a pretty meaningful hurricane impact in that park last year. The weather has not been ideal for the second quarter in Florida as well. So some of it certainly is weather. It's a great park, has a lot of great attractions. I'm not sure that the awareness is where we'd like it to be, and that's certainly, I think, an area where we can improve. But a lot of opportunity there. That park does have, I would argue, one of the more popular Halloween events, and I think we can play that up more, and we're looking forward to doing that going forward. So certainly some opportunity there.
Elizabeth Dove: Great. And then just as a follow-up, obviously, not referring to record EBITDA for this year anymore. And you mentioned in the release, meaningful increases in revenue and EBITDA. I'm not sure if that's like this year comment specifically or the rest of this year comment. And so curious just now like what's changed in terms of any expectations for the second half specifically and what you're kind of factoring in assumptions around how attendance can trend, per caps costs, that would be super helpful.
Marc G. Swanson: Yes. Look, I think my general comment on the ability to grow is kind of something we talk about every quarter, and that's meant to be more over time and how we think about things. And then I did have a specific comment, obviously, on the second half. So the way we kind of think about the second half is, like I said, the quarter-to-date attendance through August 6, if you look on a day-to-day basis for the company is slightly positive for the quarter. So we had a, I'd say, a challenging July with the shift of the 4th of July from a Thursday to a Friday. And what we could clearly see is that one day shift essentially was almost like losing a holiday day. I think last year, a lot of people had a 4-day weekend. This year it was a 3-day weekend. So that had an impact on us. We also had some challenging weather in some of our markets over the 4th of July. And then the rest of July had some positives and some negatives, but ended up being down and not something we liked. But then we've made that attendance up here in August. And -- so that's good that we've made up that lost July attendance here in August. Some of that is we have some better weather comparisons. But sitting here today, like I said, quarter-to-date through yesterday, we're slightly positive on a day-to-day basis in attendance. And we still have big weekends ahead of us. Still have the conclusion of our events to wrap up the summer, and then we'll start our Halloween events, which generally have been pretty popular over the years, and then we'll move into Christmas. A couple of other things. pass sales improved in July, as you heard Jim talk about, Howl-A-Scream ticket sales for the separately ticketed event are positive. We like our Halloween event. So that's good to see that. The Discovery Cove and Group bookings are positive for the rest of the year. And then obviously, we know we have some pretty meaningful weather benefits ahead of us, especially around the hurricanes that we had last year that were more in end of Q3 and into Q4. Now obviously, part of our assumption is that we're going to have better or improved weather than last year. So hopefully, we won't have the type of hurricanes we had last year. But our assumption would be the weather normalizes and we have -- we pick up some pretty meaningful attendance from not having such a significant hurricane impact as last year. And then we've got to execute on the cost plan that Jim and I both spoke about. And so we're focused on executing on that plan. And I think the other thing we have to see is improvement in our admissions per cap. And again, some of the really early indicators on sales, I think it's at least headed in the right direction. Still negative, I think, for the quarter right now, but it appears to be moving in the right direction. And that will be something that we have to see continue to improve. And then obviously, another assumption would be getting our in-park per cap back to positive. The one thing I'll kind of leave you with is kind of a long answer, but I do think historically, the Halloween and Christmas seasons are distinct and separate in many ways from the summer. So just because you had to maybe do things in the summer, whether it was reacting to weather with certain promotions and things like that, I don't know that you necessarily have to repeat that or would be expected to repeat that into the fall and winter. It's almost like you're resetting kind of the business, and we're resetting, I think, into what traditionally has been a strength of ours with our Halloween and Christmas events. So putting that all together, that's kind of how we think about the second half of the year.
Operator: Our next question will come from Arpine Kocharyan with UBS.
Arpine Kocharyan: I'm sorry I'm hopping between calls this morning, very busy morning. So I'm sorry if I missed, but you had previously alluded to slightly over $700 million of EBITDA as a benchmark. You should be able to hit this year in terms of full year performance, but your release does not have that guidance, of course, and you did mention expectations of solid sort of performance for the back half. I was wondering if you could give us your updated thoughts whether you can still sort of come in, in that range for the year.
Marc G. Swanson: Yes. It's Marc. I don't know if you just kind of caught my answer. I just gave Lizzie, but we're not guiding to anything, but I did walk you through kind of the ins and outs of how we think about things. I can do that maybe quickly again, if you'd like. But obviously, our tenants on a day-to-day basis through through yesterday is slightly positive quarter-to-date. Like I said, we were down in July. We made that up here at the start of August. And again, the shift to 4th of July was a negative for us. The weather around 4th of July in some of our markets was a negative. We're getting the benefit here in August of some better weather relative to last year. So kind of where we sit today, our attendance is slightly positive. So that kind of then hopefully kind of sets us up for some big weekends still ahead of us in August and into Labor Day, then our Halloween events starting as well and then eventually our Christmas events, which traditionally have been, like I said, stronger events for us and have a fair amount of popularity to them. Our Howl-A-Scream ticket sales for the parks where it's separately ticketed, those are positive to date. So that's good. Our Discovery Cove and Group bookings are also positive for the rest of the year. And then we'll have -- we would expect to have a meaningful weather benefit in late Q3 and into Q4 with the hurricane -- hurricanes, I guess, but especially Hurricane Milton that we had last year. So one caveat would be assuming we don't have any big hurricanes, we would expect to hopefully pick up just with improved weather alone. We have to execute on the cost savings that Jim and I talked about, and we're focused and have a plan to try to deliver on those cost savings. And then we need to see, I think, improvement in admissions per cap and in-park per cap. And again, there are some signs that those are -- they're heading in the right direction, still negative for the quarter-to-date, it looks like. Those are still preliminary numbers, but I think moving in the right direction. And the point I was really trying to wrap up with was that I think you have an opportunity here with summer concluding, you kind of reset the business and you move into a different phase of the business with Halloween and Christmas that traditionally I would argue, has been one of our stronger parts of the year. If you look at the growth in Halloween, the growth in Christmas, that's certainly been something that we've been able to take advantage of. And I'm confident that the product we have coming out this year is going to be as good as ever. And if we can just execute our plans, not have any really big weather impacts, I like the opportunity to have a better second half, obviously.
Arpine Kocharyan: That's very helpful. Just a quick follow-up. Would you agree that folks that are actually showing up are spending less? There is this broader takeaway that the customer might be showing up, but spending a little bit like what patterns are you seeing? I mean is there a difference between kind of different cohorts? And then on admissions per cap, that can vary, I understand a bit depending on sort of pass mix and other things that you're doing to drive visitation. But in-park spend, you guys have historically done a pretty good job on that. Do you still expect that to be up for the year, just the in-park spend of per cap spend?
Marc G. Swanson: Well, we've had pretty good success with our in-park spend over the last many, many quarters, right, until this quarter, we were slightly down. So I'm optimistic we can get those issues corrected. And we are moving into -- and ultimately get to a positive in in- park. We're moving into Halloween and Christmas, which have quite a bit of opportunity to drive in-park spend around them. So we'll have to see how we execute. But certainly, we were disappointed. We were a little negative in the quarter. Again, some of that was driven by having to be a little more promotional than we normally would like to be because of the weather. So I think we can hopefully get that corrected. And certainly, that's one of the things we're focused on.
Operator: Our next question will come from Chris Woronka with Deutsche Bank.
Chris Jon Woronka: Marc, you just kind of mentioned that Halloween, Christmas and as you say, have greater awareness and maybe you're a little bit more unique and also maybe a little bit more hoping. So the question is, have you guys historically or can you almost reverse engineer and tie these fall and winter events into opportunities to sell people for summer? Is that already going on? Or can it happen since summer tends to be a little bit more -- I don't want to say commoditized, but a little bit more commoditized on a national level.
Marc G. Swanson: Well, yes, and you broke up a little bit, but I think what you were kind of asking was, is there opportunities to kind of leverage the popularity of Halloween and Christmas to maybe have a better summer, right? Is that kind of what you're asking, Chris?
Chris Jon Woronka: Yes, exactly. Yes.
Marc G. Swanson: Okay. So look, certainly, we need to do a better job of that, but it is an opportunity, like you said. So one of the things we really try to do, like in some of our parks, we've already started to sell season passes for next year. And one of the things we talk about is, hey, get your pass now and you can still enjoy the summer, but more -- but maybe more exciting to that person buying in the past is, hey, you're also going to get to be able to come around Halloween and Christmas. So we want to -- we know people like coming to Halloween and Christmas. If we can give them a reason to secure that product and also have some hook to come in the summer as well. Those are things that we're going to continue to try to do. And I think that's certainly an opportunity for us going forward.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Marc Swanson, CEO, for any closing remarks.
Marc G. Swanson: Thanks, Wyatt. On behalf of Jim and the rest of the management team here at United Parks Resorts, I want to thank you for joining us this morning. As you heard today, we are confident in our long-term strategy, which we believe will drive improved operating and financial results and long-term value for stakeholders. Thank you very much, and we look forward to speaking with you next quarter.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.